Operator: Welcome to the Liberty Energy Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Anjali Ramnath Voria, Vice President of Investor Relations. Please go ahead.
Anjali Ramnath Voria: Thank you, Bailey. Good morning, and welcome to the Liberty Energy third quarter 2025 earnings conference call. Joining us on the call are Ron Gusek, Chief Executive Officer, and Michael Stock, Chief Financial Officer. Before we begin, I would like to remind all participants that some of our comments today may include forward-looking statements reflecting the company's view about future prospects, revenues, expenses, or profits. These matters involve risks and uncertainties that could cause actual results to differ materially from our forward-looking statements. These statements reflect the company's beliefs based on the current conditions, that are subject to certain risks and uncertainties that are detailed in our earnings release and other public filings. Our comments today may include non-GAAP financial and operational measures. These non-GAAP measures, including EBITDA, adjusted EBITDA, adjusted net income, adjusted net income per diluted share, adjusted pretax return on capital employed, and cash return on capital invested are not suitable for GAAP measures and may not be comparable to similar measures of other companies. A reconciliation of net income to EBITDA and adjusted EBITDA, net income to adjusted net income, and adjusted net income per diluted share and the calculation of adjusted pretax return on capital employed and cash return on capital invested as discussed on this call are available on our Investor Relations website. I will now turn the call over to Ron.
Ron Gusek: Good morning, everyone, and thank you for joining us to discuss our third quarter 2025 operational and financial results. Liberty achieved revenue of $947 million and adjusted EBITDA of $128 million in the third quarter, despite a slowdown in industry completions activity and market pricing pressure. Our team delivered solid operational results once again, delivering the highest combined average daily pumping efficiency and safety performance in Liberty's history. We are committed to driving outstanding results for our customers while navigating current market challenges. Our leadership in technology innovation and service quality delivers differential results, strengthening long-term relationships and reinforcing our competitive position through cycles. While we anticipate market headwinds will persist in the near term, we are well-positioned to capitalize on opportunities that will make us stronger as the cycle improves. Our Digi Prime fleets are achieving outstanding performance and leading efficiency metrics across the company. Several fleets deployed with our largest customers broke new records for pumping hours, horsepower hours, and proppant volumes pumped during the quarter. Additionally, our team's uniquely engineered 30% on DigiPrime pumps. The elegant simplicity of Liberty's design reflects advanced engineering and thoughtful innovation, resulting in a streamlined power-dense unit that delivers superior performance and increased output between maintenance cycles. Across our fleet, we are also driving meaningful efficiencies for our customers with our AI-driven automated and intelligent rate and pressure control software, StimCommander. This advanced fleet control software enables pump operators to navigate diverse fleet designs seamlessly, managing on-site pressure and rate. By automating these functions, StimCommander delivers significant benefits: faster and more consistent stage execution, reduced time on location, fuel savings, lower emissions, and improved safety. Today, fleet automation is driving a 65% reduction in the time to deliver the desired fluid injection rate and a 5% to 10% improvement in hydraulic efficiency. This marks the culmination of a decade of effort by the Liberty team, enhanced by the strategic acquisition of SLB's completion technologies during the COVID downturn. Liberty's cloud-based platform, Forge, further empowers StimCommander with intelligent asset orchestration through continuous AI optimization. By analyzing billions of data points and leveraging years of Liberty's best-in-class operational execution, Forge enhances Stim Commander's performance and precision. We mistakenly called it a large language model in our press release. But it isn't static AI. It's a distributed agentic intelligence system built for the field. Continuously plans, learns, acts, and adapts through real-time feedback and reinforcement loops, ensuring each iteration enhances the next decision. By modeling the evolving behavior of every asset, Forge turns raw data into predictive intelligence, driving compounding performance gains across every stage, fleet, and operation. It also integrates critical insights from proprietary Liberty platforms like FracPulse, our real-time monitoring and analytics system, to provide comprehensive tracking of fleet condition, performance, and emissions. Together, these technologies create a powerful adaptive automation ecosystem that delivers increasing operational efficiency and value. Structural demand for power continues to strengthen, as evidenced by large-scale long-duration power commitments across the industry. AI compute load represents a meaningful long-term growth opportunity, and broader electrification trends and industrial reshoring efforts are also driving incremental steady baseload demand. At the same time, the grid is facing mounting reliability and capacity challenges driven by increased intermittent generation and a lack of investment in transmission infrastructure. Liberty's power opportunities are strengthening as sophisticated electricity consumers seeking dynamic, flexible solutions are recognizing the value of having an advantaged energy partner that provides a solution aligned with their specific needs. Liberty is in close engagement with potential customers with large, highly transient power demand that will benefit from rapid deployment schedules with high-reliability power solutions at grid-competitive prices. Customers will have a key power partner that offers a fully integrated energy solution spanning on-site power, fuel management, and the option for grid integration and attributes. Furthermore, our on-site power solutions are fully customizable power plants that provide consumers with reliability and surety around long-term power costs, serving as a strategic hedge against potentially significant increases in grid power prices. We are confident in the growth trajectory of our power business and are expanding our power deliveries in anticipation of customer conversions from our expansive pipeline of opportunities. We are in the process of securing additional power generation, bringing our total capacity to over one gigawatt to be delivered through 2027. And we expect further increases will be necessary to meet the growing demand for our services. Oil and gas industry frac activity has now fallen below levels required to sustain North American oil production. Oil producers, which comprise a vast majority of North American frac activity, opted to moderate completions against the backdrop of macroeconomic uncertainty and after exceeding production targets during the first half of the year. Slowing trends in oil markets have more than offset increased demand for natural gas fleet activity, where long-term fundamentals remain encouraging in support of LNG export capacity expansion and rising power consumption. Moderation in activity anticipated in the near term is transitory in nature. Global oil oversupply is expected to peak during the first half of 2026. Many shale oil producers are targeting relatively flat oil production, requiring modest activity improvement in the coming year from current levels. And long-term gas demand and related completions activity continue to be on a favorable trajectory. Together, these factors set the backdrop for improving frac fundamentals later in 2026, assuming commodity futures prices remain supportive. Lower industry activity and underutilized fleets in today's frac markets are driving pricing pressure, primarily for conventional fleets. This slowdown is accelerating equipment attrition and fleet cannibalization, setting the stage for a more constructive supply and demand balance of industry frac fleet in the future. An improvement in frac activity coupled with tightening frac capacity would support better pricing dynamics. The outlook for higher quality next-generation fleets remains strong as operators continue to demand next-generation fleets that provide significant fuel savings, emissions benefits, and operational efficiencies. Liberty's Digi Technologies platform continues to see significant demand and more favorable economics through cycles and leverages our total service platform with scale advantages, integrated services, and robust digital technologies. Although industry frac activity has declined since early 2023, the Liberty team has consistently outperformed markets by staying relentlessly focused on customer success and alignment of shared priorities. During the third quarter, we further strengthened our simul frac offering with the reallocation of horsepower for long-term partners. We remain focused on expanding competitive advantages through cycles, allowing us to navigate softer anticipated conditions in the months ahead, while remaining well-positioned to react swiftly when demand for frac services rises. We have never been better positioned to face tough markets and take advantage of profitable opportunities. We are excited by the momentum we are seeing in both our completions and power opportunities and are well-positioned to deliver an unparalleled offering in the years ahead. I wanted to take a moment to share that we recently welcomed Alice Yake, a recognized energy and infrastructure expert, to our Board to help guide and accelerate our efforts in power services. With decades of leadership across energy infrastructure, power service and strategy, and regulatory affairs, as well as critical perspectives on electrical infrastructure challenges, she brings a rare combination of technical depth, policy insight, and executional excellence. As the energy landscape rapidly evolves and demand for resilient, reliable power systems grows, we are excited to move forward with intention, drawing on her expertise to shape impactful power solutions. I will now turn the call over to Michael to discuss our financial results and outlook.
Michael Stock: Good morning, everyone. Let me begin by celebrating the successes of the Liberty team. Our year-to-date results have been solid during a period marked by macro uncertainty, OPEC plus supply increases, and softening frac trends. The Liberty team has outperformed the market by leading in reliability, technology, and service quality across all facets of the business. From frac and wireline to our sand mines and sand handling businesses, CNG deliveries, and power services, we are proud of the hard work and dedication our team has shown over the last several years, continuing to drive innovation, equipment, and digital technologies, and strengthen our long-term competitive advantages. In 2025, revenue was $947 million compared to $1 billion in the prior quarter. Our results decreased 9% sequentially as activity softened following a strong uptick in the second quarter, and market-driven pricing headwinds took hold. Third-quarter net income of $43 million compared to $71 million in the prior quarter. Adjusted net loss of $10 million compared to adjusted net income of $20 million in the prior quarter and excludes a $53 million tax-affected gain on investments. Fully diluted net income per share was $0.26 compared to $0.43 in the prior quarter. Adjusted net loss per diluted share was $0.06 compared to a profit of $0.12 in the prior quarter. Third-quarter adjusted EBITDA was $128 million compared to $181 million in the prior quarter. General and administrative expenses totaled $58 million in the third quarter, flat to the prior quarter, and included non-cash stock-based compensation of $5 million. Other income items totaled $57 million for the quarter, inclusive of $68 million of gains on investments offset by interest expense of approximately $11 million. Third-quarter tax expense was $12 million, approximately 22% of pretax income. We continue to expect tax expense rate to be approximately 25% of pretax income in 2025, and we expect no significant cash taxes in the fourth quarter. Ended the quarter with a cash balance of $13 million and net debt of $240 million. Net debt increased by $99 million from the prior quarter. Third-quarter use of cash included capital expenditures, working capital, lease payments, debt issuance costs, and $13 million in cash dividends. Total liquidity at the end of the quarter, including availability of the credit facility, was $146 million. Net capital expenditures were $113 million in the third quarter, which included investments in DigiFleets, capitalized maintenance spending, LPI infrastructure, power generation, and other projects. We had approximately $6 million of proceeds from asset sales in the quarter, and we now expect total capital expenditures for 2025 of approximately $525 million to $550 million. In the fourth quarter, we are anticipating normal seasonal trends relative to the third quarter. E&P production outperformance coupled with economic uncertainties already led to industry-wide activity reductions in the third quarter, setting up a more normal cadence of activity into the fourth quarter. At these levels, we believe the industry activity will begin to stabilize and could see an eventual uptick during 2026. Looking ahead, our 2026 capital expenditures are markedly shifting towards growing opportunities for power generation services. We now expect to have approximately 500 megawatts of generation delivered by the end of 2026, another one gigawatt of cumulative power generation by the end of 2027. We expect further increases will be necessary to meet significant power opportunities. Our completions CapEx moderates in the years ahead. We remain relentlessly focused on generating significant value for our shareholders. We believe we are fast approaching the bottom of the trough in our cyclical completions business, and we are excited by the momentum we are seeing in PowerUp opportunities. As such, we increased our quarterly cash dividend by 13% to reflect the confidence we have in our future and a continued commitment to delivering long-term value to shareholders. I will now turn it back to the operator for Q&A, after which Ron will have some closing comments at the end of the call.
Operator: We will now begin the question and answer session. Please pick up your handset before pressing the keys. Our first question comes from Stephen Gengaro with Stifel.
Stephen David Gengaro: Thanks and good morning everybody. Ron, I think the first for me is I think we've in general come to have a lot of confidence in Liberty's deployment of capital. But the big question that we get often is, you have power on order and we're sort of awaiting contracts. So can you just talk about sort of your visibility on demand for the power generation assets that you are planning to add over the next twenty-four months?
Ron Gusek: Certainly, Stephen. And first of all, appreciate your recognizing that we are sound stewards of capital. We've done that for fifteen years and would certainly assure you that we don't view the power business any differently than that. This is not something we're going to approach any differently than we have our core business. I would tell you a few things in answer to that. First of all, I think we've learned that it takes a little longer in the power business to get a contract to completion than it does in our core oilfield services business. And so, while you always have lots of great opportunities and we've talked about our sales pipeline there, it just takes a bit more time to get these things to the place where we're comfortable making an official announcement around them. I would say maybe in general answer to your question a few things. Number one, in the last ninety days, our sales pipeline has more than doubled from what we talked about at the end of the second quarter. I would tell you also that the urgency in that sales pipeline has increased meaningfully. And so, we're absolutely feeling that and you're seeing that our response around ordering power. I would tell you that between LOIs and contract terms, we have out in front of customers paper for more than a few gigawatts of capacity needs. And I would tell you that ourselves as the leadership team together with our Board, are sufficiently confident in our ability to convert some of that to long-term contracts that we have made the decisions we have around the ordering of additional capacity. Conversations will carry on and when we get to a place where we have paper we're comfortable talking about and making a firm announcement around, we'll absolutely do that. I would say that in all cases we're talking about long-duration partnerships here, things that are measured in fifteen plus years. I would also say that these are things that would be deployed over a period of time. This is not conversations for deployments overnight. But as you've come to see, I think with data centers, things that would grow gradually in building blocks over a period of years.
Stephen David Gengaro: Great. Thanks for all the detail. And just one quick follow-up. Is there a specific customer base we should be thinking about? Or is it data centers, energy applications, etcetera? Or is it something specific that you're really targeting?
Ron Gusek: I would say that we can of course, continue to talk to a range of end-use customers. I would say that my expectation is we probably end up with a higher percentage of our capacity with data center customers than maybe we had anticipated at the outset of our foray into this business.
Stephen David Gengaro: Great. Thanks for the color.
Michael Stock: Stephen.
Operator: Our next question comes from Marc Bianchi with Cowen. Please go ahead.
Marc Gregory Bianchi: Hey, thank you. Guess on the hey guys, on the financing of all of this capacity that's coming in, where is the capital going to come from? Are you potentially getting customer prepayments or maybe we have some sort of PPP and you can finance against that. What should the capital look like for funding this growth?
Michael Stock: I'll take that one, Mark. So power plants, PPAs or any long-lived assets like this like we think we'll have the co-locators or those data centers fund their projects. There will be a long-term ESA, energy service agreement, PPA. The assets themselves will be most likely for the large load customers drop down into a project company. Those project companies will be funded via debt that is backed by that PPA ESA. About the fact that most likely that will be project-specific debt maybe around you could get to approximately 70% of the capital needs by debt. It will be non-recourse to the corporation probably funded if you were looking at the debt markets at the moment, anywhere, depending on whether you're in construction or whether or not you are in production of electrons, that's probably somewhere between mid to high single-digit paper that you're looking at there. The balance would come from cash flow which is again the 70% would come from cash flow from the company. And corporate debt. So that would be we may look at depending on the size of the project and the partners involved taking on potentially minority infrastructure partners alongside us some of those projects. So there's the large load. When you think about the data center, the big large load projects or even the large load C and I, think about greenfield industrial projects. The smaller projects, if you think sub-one 100 megawatts will be funded on the balance sheet. Those ones where you think about oil and gas customers, etcetera, they will be sort of maybe a shorter term somewhere between five and ten-year contracts of small numbers. And as you see, some of our larger projects we may well do within with our other partnership, technology partnerships, and as we see, you may have multiple technology in there as evidenced by our OCLO partnership. That is in the future in the 2030s. That will also potentially be part of it as well. So, a lot there will be a lot of details around each of these projects that will come out when we make the announcements.
Marc Gregory Bianchi: Yep. That's very helpful. Thank you, Michael. Other question I had was on we've heard some of the other participants in sort of mobile energy support for data centers talk about transient response and you guys mentioned it in your press release. These other participants have said that there's certain technology advantages that they have around satisfying that need. Can you talk about how Liberty plans to handle that? And maybe just educate us a little bit about what the transients response involves?
Ron Gusek: Well, we won't get into the absolute details there, Mark. Certainly, we're working on some thoughtful and I'd say maybe somewhat proprietary solutions around that. But I would tell you that our electrical engineering team has been working very, very closely with our partners in that space around a very specific solution to that. And that solution is tailored specifically to the generation assets that we will be deploying to any given individual project. So of course, as you can appreciate, a large recip behaves slightly differently than smaller recip behaves slightly differently than a gas turbine. And so as you consider being able to respond to transient loads in each of those environments, you need to have a solution that is tailor-made to that. And so we're confident our engineering team together with those partners have a fantastic solution that meets those needs. And so, we're comfortable with how we're moving forward there.
Michael Stock: And one thing I might clarify the amount just a little bit. I wouldn't characterize it as mobile power. I think sort of that's a leftover from a couple of years ago. Yeah. There is some mobile power what we use for frac. There will be some version of mobile power that we will use for about data hall commissioning. Or special power boosting wins needed when you're kind of doing an expansion on a site-specific project. But this is institute power permanently in place doing permanent power generation. So would say, I think you need to kind of think about that differently from the sort of the generator into companies. This is truly pure power generation.
Marc Gregory Bianchi: Great. Thanks so much. I'll turn it back.
Ron Gusek: Thanks, Mark.
Operator: Our next question comes from Scott Gruber with Citigroup. Please go ahead.
Scott Andrew Gruber: Yes, good morning. Mike, I just want to get a Good morning. Wanna get a little more details, you know, just around the CapEx build-up for next year with the additional megawatts coming in? I assume that the base business kind of down towards maintenance CapEx. Maybe if you can give us some additional color on the building blocks for that the 26 CapEx figure?
Michael Stock: Yes. As obviously, we always give you the details in the January call. We'll give you the buildup and then kind of update that guidance as we go through it. But yes, we're expecting to have 500 megawatts through the end of the year. Some of that will be landing towards the end of the year then will just be the package generation. But some of it will or significant portion of it will be with installation. So I think, you know, you can use sort of a variation around I mean, just think about installed generation around that $1.5 to $1.6 million a megawatt. If you think of sort of long lead and generators around $1.1 million. So it will be a balance of that, and we'll give you an update. A view of that in January. As we go through. And we'll give you a probably, I would say, expecting January bit more of a longer-term look on our current views on future cash flows in the Power. Yeah. We'll probably take a little bit of a longer view on how we talk to street by January on that. Part of the business.
Scott Andrew Gruber: Okay. When they I speak to my next question? I was I was gonna ask, maybe to provide some color just on the EBITDA payback. On the contracts you're seeing, if it's kind of 1.5 ish on CapEx per megawatt, you know, you're still thinking we're kind of in that three to four-year payback? You know, on that investment? So
Michael Stock: Scott, it obviously depends on the term of the contract. When you think about longer live contracts with investment-grade clients in the fifteen plus years, obviously, you're going to have a longer cash on cash payback to achieve our targeted return profile of an unlevered cash return in sort of the high teens. Right? So you're probably talking 5%, 5% and bit on that. Short-term contracts obviously will be a quicker payback. So if you're doing shorter-term contracts in the five to seven years for smaller oil and gas implementation, yes, you'll be on the three plus year, the three-year version of that. But the longer life contracts, obviously, you're going to have a longer payback period. But much more secure, and it's gonna be take or pay the essays.
Scott Andrew Gruber: I got you. If I could sneak one more in. Is there tension today between kind of reserving some capacity for larger data center contracts and kind of not wanting to dedicate that capacity to some other end markets? Is the data center opportunity moving so quickly that you guys don't really feel attention in terms of dedicating capacity. At this juncture?
Michael Stock: There is significant tension around reserving capacity. Near-term generation capacity near-term generation need is very high. Near-term generation capacity is nowhere near what's available in the market. So there is significant tension around that.
Scott Andrew Gruber: Interesting. Okay. I'll take it back. Thanks for the thoughts.
Operator: Our next question comes from Adi Modak with Goldman Sachs. Please go ahead.
Adi Modak: Hi, good morning team. Ron, it's taking longer to sign some of these power contracts because the market is different. But can you help us think through the steps that you are looking at to sign these contracts so that we understand it?
Ron Gusek: Yeah. And I think there's a number of them. Course, these are big projects. These are billions and billions and billions of dollars of investment that are going into the ground there. And so as you think about all the pieces that have to come together there, it's not an insignificant number. In our oilfield services world, you have an E&P that's already locked up land. They've done their geology work. And they're drilling wells. In a pretty straightforward cadence. And so they have a pretty clear outlook to that. In this case, you're talking about a series of parties that have to come together identify the land, take care of air permitting, fiber, fuel source in the form of natural gas. And end use if you're a hyperscaler, the end-use contract with the customer that's going to co-locate in that facility you have to have a number of these pieces that all come together and ultimately, when all of those are satisfied, then get comfortable signing the final energy services agreement with us. And so, while they are somewhat long in the making, you get I would say we get to clarity around what the end result is going to look like sooner than that. But that doesn't mean you're at a firm contract at that point in time. So, just have to work alongside of them and as they work through these steps and patiently stand by until we get to a place where we can sign the final documents.
Adi Modak: That makes a lot of sense. Thanks for the explanation there. And then maybe for Michael, you talked about project-level financing for some of these entities. Would you consider equity or any kinds of converts as potential tools in the mix?
Michael Stock: So obviously, I mean, we are always looking for the most cost-effective and the most efficient way to finance the growth of this company to drive the highest value for our investors. So as we would say, nothing is necessarily off the table. But we have, I believe, a very, very clear path to being able to fund a large portion of these projects without major dilution.
Adi Modak: Got it. Thank you so much. Thanks guys.
Stephen David Gengaro: Thanks, Adi.
Operator: Our next question comes from Saurabh Pant from Bank of America. Please go ahead.
Saurabh Pant: Hi, good morning Ron and Mike. Good morning. Ron, Mike, it sounds like you're making a lot of good progress on the power side of things. And maybe kind of a follow-up on what Aarti just asked on the contracts, right? How are thinking about those contracts? These are very different from what not just you, what we are used to. Right? So we are trying to figure out how are you looking at potential risk, and pitfalls and liabilities, right, all that good stuff, right? So maybe just a little bit of color fifteen year, maybe north of fifteen-year contracts how do you protect yourself from that risk? I know the opportunity is fantastic, right? But I'm weighing up both sides of the equation.
Michael Stock: Right. So the first way that you look at it is who's your counterparty? That's arrived. So, okay, you're looking at even though let's just say 70% of the sort of data market that's going be built is probably you know, six or seven large invest very, very large investment-grade clients. Right? The other 30% is more the multiple uses the banks you know, so that, you know, the BFAs, the JP Morgan, just the smaller companies in the world. Just a joke. But those sort of thing, investment-grade off-site and so your ESA is with that large investment. Investment-grade offtake. You're doing it in conjunction with a company you know, these very large developers build the data centers and run them as a REIT. So you choose your counterparty on that side very closely. Somebody who's given execution, history ability to put the buildings on the ground in a reasonable time frame. Right? Then you've got to look at obviously, you've got an engineering effort on your own, making sure you understand your solutions, make you understand the delivery of your supply chain, and your EPC partner that is executing on that to make sure that you are not running in that you see a reasonable time schedule, you have no issues around delays around LDs? It's an engineered solution, making sure that you are building let's just say, 1.2, 1.3 x to get you to your five nines. We can do with the smaller resets and your comfort level around being able to deliver that IT load that they need. So it's all of that you know, managed, by the team here, rolling up into a risk committee. Those are reviewed on every single project. And that balance of that is what protects you. Now each one of these large loan projects will be rolled down into a separate project code. You know, the you know, as I said, with nonrecourse debt that will have the specific or just like you do with any other large real estate development, with the corporate protections around that. So it's a very different setup from our current business, but we have thought through all that very, very carefully.
Saurabh Pant: Okay, okay. No, that's fantastic color, Mike. We'll keep an eye out on how things evolve. But just one other thing, Ron, Mike, whoever wants to take this on the technology side of things, right? When we were talking about 400 megawatts that was supposed to be all nat gas resets, right? But now that we are over one gigawatt, and again, this is not the end, by the way, right? I'm sure you would look at more opportunities. How are we looking at the technology side of things evolving between? Recaps and turbines and maybe a little bit of a battery to supplement all of that, right? How are we thinking about that? And then just the lead time. To order that and get that in time?
Ron Gusek: That's a very good question. And I would say that I think we've always said well RECIPs are going to form the core of our technology platform. That we recognize there are going to be cases where other technologies will make a lot of sense in concert with those or maybe in place of those. So, I would tell you today that of the capacity we are procuring, the large majority of that remains gas recip engines. We like that technology and we believe it brings some inherent benefits to the table, particularly around heat rate. But that said, when it comes to power density, you get some real benefits from a gas turbine. And so, we absolutely see those as part of the puzzle. Then as you think down the road, you know the end-use parties that are going to be consuming these electrons or at least the vast majority of them. And they all have publicly stated goals around reducing the intensity of their electricity. We have some very specific partnerships around that, particularly the Oklo partnership. We will sometime into the next decade be able to bring small modular nuclear to the table. And so we see that being a piece of the puzzle as well. In the nearer term, recognizing that emissions can be a challenge particularly in non-attainment areas. We've talked about the Colorado Air And Space Port as an example. The Front Range Of Colorado is a non-attainment area and requires some very specific solutions to ensure we can achieve the emissions caps that necessary there. Fuel cells offer a great partnership together with gas Resip to help accomplish that. And so you can expect, we talk about these projects in the future, likely a mix of generation technologies. That are best suited to address the needs of that particular site.
Saurabh Pant: Okay. Fantastic Ron. I'm glad we are talking about the next decade and not the next quarter. But thank you for the color, Ron. I'll turn it back.
Ron Gusek: Awesome. Thanks so much.
Operator: Our next question is from Tom Curran with Seaport Research. Please go ahead.
Thomas Patrick Curran: Good morning. Sticking with the Power as a Service business here, for the additional 100 megawatts of capacity being delivered this quarter, Q4, would you please review the deployment timeline and its major stages? Are you still anticipating about six months from equipment delivery to purchase revenue out in the field? And then do you anticipate opportunities to maybe shorten that timeline as you ascend the learning curve?
Michael Stock: So I'll take this one. It depends on the generally, from package resets to electron generation, six months is a good sort of average number. You know, when you move up the scale onto the turbine side of the world, you probably take that to maybe all the larger resets, which will be in large power holes, that's probably nine months from generation to electrons. Now you can depending on where the project is, some of these large projects are gonna be interesting. Because that's sort of an average as you will be doing sort of the dirt work and the building. And sort of landing the generation. So some of the early generation will have a longer time to revenue generation and some of the later engines that get installed will have a shorter time. So just talking in general averages, and I think that's a fairly real it's going to be project and site-specific around that on average over the next five years.
Thomas Patrick Curran: Got it. And then Liberty not only has a well-deserved consistently earned seller reputation as a sort of capital. But I would argue on the technology side, as frequently the smartest guys in the room, you know, trailblazers on innovation and technology adoption. I don't want to unfairly highlight sort of one that didn't work out here, but when it comes to Natron, obviously, nailed it with being ahead of the curve on Advanced Nuclear and the Yoklo relationship. As well as on enhanced geothermal and Fervo. Neatron hasn't worked out Ron, I'd just be curious to hear when it comes to long-duration energy storage, and that longer-term potential for where you might go with batteries as part of LPI's DPS fleet. How are you thinking about sodium-ion technology? Do you still think that's going to be one of the likely longer-term winners? Or are you maybe pivoting to other electrochemical technologies when it comes to batteries?
Ron Gusek: Yes. Good question. I would say that as far as the technology itself goes, still a big fan of sodium-ion technology. If you think about things like the C rating and potential cycle count, for a sodium-ion battery, it's just awesome technology in that regard. You can dump charge into and remove charge from those batteries at rates that are hard to match with some other technologies. And the total cycle count or lifespan for one of those batteries is meaningfully higher than for lithium-based technology. So we really do like the technology. Unfortunate the Natron situation that they just couldn't get to scale, but we'll still continue to watch for that technology to be deployed. We use a lot of battery capacity in our world today, that's present in our Digi world, both on the Digi Prime fleets and on the Digi frac locations. We rely on lithium-based technologies there because you have a weight consideration that comes into play. Don't get the same energy density out of sodium-based chemistry as you do out of a lithium-based chemistry. And so when weight and size are a factor, there's a reason lithium technology is the technology of choice in EVs, for example. And the same is true for us. Of course, we have size and space considerations when it comes to deploying batteries on our frac locations. And so we've leaned towards lithium technologies there. We're familiar with those. We have strong partnerships there. And we'll continue to leverage those partnerships as necessary, on the core OFS space and in the power space to the case that that makes sense. But we'll continue to keep an eye on those other technologies for future opportunities as well.
Thomas Patrick Curran: Very helpful. I appreciate taking my questions.
Michael Stock: Thanks a lot. Thanks, Tom.
Operator: Our next question comes from Jeff LeBlanc with Tudor, Pickering, Holt. Please go ahead.
Jeffrey Michael LeBlanc: Good morning Ron and team. Thank you for taking my question. Good morning, Jeff. I was just curious, how should we think about capital allocation between frac and LPI moving forward? We know that you previously mentioned that the base cases for no digi bills in 2026, given the compelling opportunity in power, is there any reason this shouldn't be the case moving forward if frac prices stay at the current levels?
Michael Stock: So our freight business is an incredibly vibrant and great business that has great long-term cash generation ability over the next decade. And so we invest in that business as we always have and as we always will on the basis and the timing of the cycle. For that business. And that won't be affected at all by investments in our power business. We are not going to be capital limited as far as investments in these two businesses. They stand alone, and they we will invest as makes sense for future cash generation abilities.
Jeffrey Michael LeBlanc: Yes. That makes sense. Thank you very much. I'll hand the call back to the operator.
Operator: Our next question comes from Derek Podhaizer with Piper Sandler. You may go ahead.
Derek John Podhaizer: Hey, good morning. I just wanted to go back to Saurabh's question and maybe clarify the answer. On just the type of equipment that you'll be ordering and delivering, I know initially it was the 400 megawatts. I think that was typically made up of the recifs, the 2.5 to five megawatt units. So then we think about the incremental 100 by the end of next year and then the 600 plus to get to over a gigawatt. I think you started mentioning we might get a mixture of type of assets. But can you be more specific if you will continue to invest in the reset? Then if you are moving towards the turbines, maybe how much is we could think about that in terms of megawatts for your deliveries?
Ron Gusek: Derek, I would say that the vast majority of this incremental capacity is also gas recip. Turbines will play a role in our world. Although I think as we continue to look forward, we will still lean very heavily on the gas resip technology. If you think about and I've said this in past calls, ensuring long-term durability in the business, bringing the best technology to the table, in support of our customers. We like recip because of the heat rate. You have an opportunity under simple cycle conditions to deliver conversion of molecules to electrons at a level that is on par with the grid today at about 45% thermal efficiency. That is impossible to achieve with a simple cycle turbine. You're going to right out of the gate put yourself at a disadvantage with respect to fuel burn, per electron delivered. And so, while we believe there is an important place for turbines in the power generation world, we talked about density as one of those attributes. We really like the gas reset technology and you should expect to see that be a very meaningful part of our portfolio today, tomorrow, and in the years to come.
Derek John Podhaizer: That's helpful. And maybe just to clarify on that, is there any larger resets that you go out and acquire? I mean, I know the 2.5% to 5%, but 10 megawatt plus type of RESIPs out there that can you can put into your portfolio?
Ron Gusek: Yes, there absolutely are. So if you think about our portfolio going forward, it is going to be we're going to have capacity centered around the yen unit, which is 4.3, 4.4 megawatts per unit. But you absolutely can get much bigger gas recip engines in that. Michael mentioned the idea of a power haul. The Genbacher's are a packaged unit, something that we package and deliver to site basically ready to go, say for some basic dirt work. As you start to move into that larger capacity, the 10, 11, 12 megawatt kind of size, those are very, very large units. Those are going to be inside of a power hall, building that will be constructed on-site and then we'll have those installed in there. And so as he was alluding to the different timelines for from delivery to power generation, it was specifically around those two different asset scales that he was talking. So you should expect to see both that smaller, more modular type approach in our world, along with the larger units deployed in a power haul type facility also.
Michael Stock: If you look at it, Derek, you're going to have power blocks basically with our partners at Caterpillar sort of the 2.5 megawatts and 25 megawatt blocks. You're gonna have the larger Yenbakkers and 50 megawatt blocks. To deliver. Then we'll have 200 megawatt power haul, which is delivered by a number of our core partners for these larger recip engines. And then as you go up in size after that, there's any very, very large installations, that's when, as Ron pointed out, you might go to a larger sale turbine solution as well as waiting for the Oakland powerhouses, which would be our natural sort of large scale behind the resets once we get past 2,030. Once into 2030, that that'll that'll be solution there.
Derek John Podhaizer: Right. Okay. That makes that very helpful detail. And I guess for those power hauls, bigger resets, are those included in this one gigawatt target that you just laid out?
Michael Stock: We're not going into the details of exactly where it is. But, you know, there are they are basically all research within that one gigawatt number.
Derek John Podhaizer: Got it. Okay. That's fair. And then I mean a ton of questions have been asked on power. So just maybe a housekeeping one for me as far as how we should think about the fourth quarter. Obviously, we have some seasonality creeping in. Third quarter much was softer than expected. But how should we think about maybe top line and some of the decrementals? Should we stay at that 55% level? Or should we start to normalize just given of where we start in 3Q and where we're going in 4Q?
Ron Gusek: Derek, I would say that at this point in time, we're anticipating just typical seasonality. As really the change in cadence from Q3 to Q4. We'll see how that plays out as the quarter unfolds. But that's what we're assuming at this point in time.
Derek John Podhaizer: Got it. Very helpful. I'll turn it back. Thank you.
Ron Gusek: Thanks, Dave.
Operator: Our next question is from Keith Mackey with RBC Capital Markets.
Keith MacKey: Hi, good morning and thanks for taking my questions. Hi, Keith. The first one good morning. First one is to start out on that $1.5 million to $1.6 million per megawatt number. We've been incorporating something slightly lower than that in the $1.3 million to $1.4 million range previously. Can you just talk about kind of what has driven the increase there? Is it varying scope of the equipment you'll be providing around these projects or is it pricing or is it a mix of both? Just curious what's really driven that? And ultimately how close you think we are to the end stage determination of what these projects will actually cost once they get into the field? Is that 1.5 to 1.6 fifty percent to 70% confidence number? Or is it a 70% to 85% confidence number? Just curious for some sort of does depend on scope, Keith, you know, kind of material.
Michael Stock: That's us taking, you know, thirteen eighth generation stepping it up to 35 and handing the electrons off. So that your scope can move I mean obviously that's assuming to some degree you know, some point, most of the gas delivered to the fence line. Right? So depending on where sort of how long the gas line, who's scope that's in, how long sort of, you know, the interstate connection and the pipe. And so a lot of moving parts around where that those projects can ultimately come in, know, and whose scope that ends up in. That's why those sort of numbers are there. There also are price increases, right? I mean, as you can see, there is a huge amount of demand power generation. A large portion of that is sort of built outside the country. So, sort of prices are moving on a fairly regular basis. And as when we look out a lot of some of these prices, we're starting to look at discuss with our partners. Supply chain is out 28%, 29%. Talking to the OPAL team about what we can do on 30. So we are talking a large long way into the future in some of those. So the pricing will move over time. The great thing is when you look at the efficiency of our solution the effectiveness of what we can do and the capital effectiveness especially. We can provide what is a grid parity or lower than grid price now to these large load customers with very little inflationary need comparative to what the group is going to go up, right? Capacity fee is going to kind of probably inflated CPI, Everybody, I would say, if you that you talk to agrees over the next fifteen years the inflation rate of natural gas, given how successful we are, on our completions business and how good our service teams are there, is going to be far lower than the general inflation rate of grid power price. Right. So when customers sign up with us now, they're getting at grid or lower than grid pricing. And if they project forward fifteen years, going to be significantly below what the grid pricing is then. So it's a compelling, compelling technological and economic solution for these folks.
Keith MacKey: Yes, got it. I appreciate the color on that. Maybe if I could just circle back to Derek's question about about Q4. I understand the guidance there for normal seasonality although it tends to be an industry where I find that normal seasonality is is hardly normal. We might agree. So, yeah, so if we were to put, you know, just some general guideposts around that, like, if I look at the last two years, the revenue is down 12%, down seventeen percent in 'twenty-three and 'twenty-four, respectively, for Q4. Like is that sort of the range we should be thinking about for Q4 this year with kind of a similar level of decremental? Or is there anything specific in this year that might make it different from those prior years?
Michael Stock: I think that's probably the top end. I think we're getting to normal seasonality, which is lower than the last two years. But that's probably the top end of what you would model. As activity-based decrementals on that, yes.
Keith MacKey: Okay. Got it. No, I appreciate that color. Thanks very much.
Operator: Our next question comes from Eddie Kim with Barclays. Please go ahead.
Eddie Kim: Hi, good morning. Just wanted to touch on that additional capacity of 600 megawatts. Just wanted to clarify how much of that 600 megawatts is secured or how much you've ordered versus how much of it you're in advanced discussions for? And secondarily, just your confidence level in being able to deliver that full one gigawatt capacity by the 2027. We've heard a lot of OEMs are that they're sold out. So just curious confidence level in being able to deliver that on time.
Michael Stock: Yes, very we have unique relationships. Obviously, we've these are a lot of the same players that we've put north of $5 billion to work with over the last twelve years. Right? So we have unique relationships with these folks. So very, very confident, you know, supply chains, we're clarifying some of the bits and pieces of some parts of those megawatts at the moment. But yes, very confident that will all be delivered. Now that will be landed. That's not generating. That will be landed. Right? So that's the key portion of what's available. So it can be then being of like starting to be worked on to the dirt.
Eddie Kim: Understood. Understood. And then just in terms of that 600 megawatts, is all of that in advanced discussions right now? Or have you actually secured, some part of that?
Michael Stock: Oh, it's all in advance. But as far as the supply chain, the delivery of it?
Eddie Kim: Just in terms of what you've ordered.
Michael Stock: Vast majority.
Eddie Kim: That's majority of the 600 megawatt incremental 600 megawatts is ordered. Okay. Understood. Correct. Okay, great. Follow-up is just on Oklo. First, I believe you had a small equity stake Oakla. Could you just remind us how big that stake is? And with regards to the collaboration agreement, are you currently contemplating in terms of the number of megawatts you'll be allocating or ring sensing for that collaboration? When do you think is the earliest we would see a deployment of those assets?
Michael Stock: So sort of our investment in Oclo, I think is in our queue. Kind of the details around it. And you'll see that we had been monetizing some of it and actually just moving that straight into deposits on power generation which again, I think our long-term power generation contracts and context with the hyperscalers. A large number of those will eventually include the inclusion of potentially inclusion of SMS. Maybe not on the same specific side, but with the same customers, right? You think the vast majority, 70% of the sort of the IT infrastructure data centers are going be built by six or seven folks. Right, using 10 or 12 developers to do that work for them. So the combination of ourselves and OCLO will be involved in a lot of projects together. We'll see how that goes. But we it was quite exciting. I'll check the groundbreaking of the national lab generator and we're hoping to see electrons flowing from that at twenty-eighth, I believe. So I think the DOE has been very, very helpful with the development of nuclear.
Eddie Kim: Great. Thank you, Michael. I will turn it back.
Operator: Our next question is from Dan Kutz with Morgan Stanley. You may go ahead.
Daniel Robert Kutz: Hey, thanks. Good morning. Good morning, Dan. Good morning, Dan. So Michael, correct me if I'm wrong, but I think earlier all the color that you gave around the financing options, that was That was all for the incremental 600 megawatts. So, A, correct me if that's wrong. And B, I just wanted to confirm for initial 400 megawatts that you guys ordered, is the plan still that that's all going to be financed organically using the revolver and using organic cash or I guess in a scenario where maybe if things played out worse than contemplated in the near term here and how would you think about financing options for the initial 400 megawatts? If kind of the existing capital structure needed a little bit of extra capital to kind of get those crafts finished line.
Michael Stock: Thanks. Yes, hang on. I can answer. Alright. So, I don't think you should think of the initial $400,000,000 the next 600 I think you need to think about this as a building of an ongoing business, right, holistically. We will fund sort of the early stage deposits, the movement of supply chain. Until those those long lead time equipment are assigned to assigned ESA. When they are assigned to assigned ESA, it could be megawatt number 98 or megawatt number 105, whichever the big one it is. It's assigned to an ESA. You drop down into a project, and then funded separately. So really what you're looking at there and about 30% of that project will be funded by equity either ours or potentially in partnership. And so when you look at it, it's going to be an ongoing stream, a development stream. You got to remember, what we're doing here is we're building a company for decades, a generational company. It's a generational power generation company with strong fifteen plus year cash flows are going to be building out an exponentially additive as we go through into the future. So this is something that is being built brick by brick by brick. So I think that's the key way to think about that.
Daniel Robert Kutz: Great. That's really helpful. And then I don't know maybe for Ron or either of you, I guess just thinking about some of the puts and takes on completion services or frac profitability per fleet and there are some puts and takes to think through. I mean, you guys have flagged pricing pressure and then also I feel like Liberty tends to be less reactive in kind of scaling up and down the cost structure and up and down cycles, but rather kind of kind of maintains the high-quality labor force and, you know, the overall high-quality business. But I guess there's some offsets you guys have flagged as well growing fleet size and horsepower per fleet. At least this year the fleet mix improved with incremental effect deliveries, efficiencies are improving. So, maybe you could just unpack what you've seen in kind of profitability per fleet and how you think that trends moving forward? Thank you.
Ron Gusek: Certainly Dan. I would start by saying that of course we view this business just like Michael talked about the power business. This is we have a long-term view on this. So no, we of course, we don't react quarterly to ups and downs. People are our most important asset. They are the reason we are as successful as we are. And so, we don't make changes in headcount because of what we view as a short-term blip in activity. I think we are very confident in the long-term viability of the business. In the long-term outlook for oil and gas demand. And the role that Liberty will play in delivering that. So we take a long-term view to that piece of our business as well and particularly the people that are involved in that business. There are, as you say, some puts and takes. Of course, we are in an industry that has competitors. And unfortunately, when we have companies that find white space on their calendar, the way they choose to defend market share is with price. And we're not immune to that, of course. Our customers are aware of where the market is. And so that ultimately leads to conversations that have us needing to adjust our pricing in line with the market. That said, we are still fully utilized today. That is a testament to the people that are in the field, the technology that they have to work with the supply chain and other things that support them. And we expect that to continue. And we'll navigate the pricing headwinds in the near term and when things get better, we will be as we always have been in the past, the best-positioned company to take advantage of that going forward.
Daniel Robert Kutz: Awesome. Thank you both very much. I'll turn back.
Operator: This concludes our question and answer session. Would like to turn the conference back over to Ron Gusek for any closing remarks.
Ron Gusek: Thank you, Bailey. Pride ourselves on delivering efficiency. On maximizing the effective utilization of the assets we deploy to the field. With the goal of delivering the lowest total cost of completions for our customers and ensuring that a barrel of oil or Mcf of gas produced here in North America remains competitive on the global stage. Delivering the highest levels of efficiency means ensuring we have the best of everything on location. The best people, the best technology, the best company to deliver each individual service. We've always said that Liberty wants to be the provider of frac, wireline, and logistics on any well site. But only if we are the best choice in each of these. If not, then take what we are best at and pair us with the best partners for the others. Accepting mediocrity is just bad business. Bad for competitiveness, bad for consumers, and bad for investors. Unfortunately, the current punitive tariff policies are doing just that. Tariffs make the economy less efficient. They're a path to mediocrity, not excellence. They raise prices, cut profits, increase unemployment, diminish productivity, and slow economic growth. North America is a leader in energy production. Energy that the world desperately needs. Unfortunately, tariffs on steel and aluminum products are driving up the cost of that production impacting competitiveness on the global stage, potentially leading to a loss of market share. How is that a positive income for either The U. S. Or our trading partners? The Secretary of Energy has called the race for AI dominance our next Manhattan project. Winning this race requires access to massive amounts of new power generation capacity and associated hardware along with many other sophisticated components. Much of this is currently made overseas and much of it is now subject to tariffs. Is this a path to winning a race the administration has identified as so critical to our nation's future? I would argue no. It's a path to mediocrity at best. I hope we quickly pivot to a different course. One that puts us firmly on the path to energy and AI dominance here in The U. S. Thanks for joining us on the call today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.